Operator: Good day, and welcome to the Latham Group First Quarter 2022 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note, today's event is being recorded. I would now like to turn the conference over to Nicole Berge, the Company's Investor Relations Representative. Please go ahead. 
Nicole Berge: Thank you and welcome to Latham’s Q1 Fiscal 2022 Earnings Call. Earlier this morning, we issued our earnings press release which is available on the Investor Relations portion of our website where you can also find the slide presentation that accompanies our prepared remarks.  On today's call are Latham's President and CEO, Scott Rajeski; and CFO Mark Borseth. Following their remarks, we will open the call up to questions. During this call, the company may make certain statements that constitute forward-looking statements. Such statements reflect the company's views with respect to future events as of today and are based on our management's current expectations, estimates, forecasts projections, some beliefs and information. These statements are subject to a number of risks that could cause actual events and results to differ materially. Such risks and other factors are set forth in the company's earnings release posted on its Investor Relations website and will be provided in our Form 10-Q for the first quarter of fiscal year 2022. The company expressly disclaims any obligation to update or review publicly any forward-looking statements whether as a result of new information, future events or otherwise, except as required by applicable law. In addition, during today's call, the company will discuss non-GAAP financial measures, which we believe could be useful in evaluating our performance. Reconciliations of adjusted EBITDA to net income calculated under GAAP can be found in our earnings press release. It will be included in our Form 10-Q for Q1 2022. I'll now turn the call over to Scott Rajeski.
Scott Rajeski: Thanks, Nicole. Good morning. Thank you for joining us for our first quarter 2022 earnings call. Just a few weeks ago we celebrated the one-year anniversary of our IPO, and I am proud of all that we've accomplished in that time. We have consistently executed on our strategy, navigating the constantly changing environment and delivered strong growth. We have entered in 2022 in a position of strength, and I want to thank our employees, dealers, partners, and investors for their ongoing support.  The first quarter was a strong one for late them and we are encouraged by the early excitement and anticipation we're seeing from both consumers and dealers as we head into the peak pool building season. We've been on the road connecting with dealers in a homeowner is across the country. Further, educating the market on the value proposition of fiberglass. What we're seeing and hearing across the board is homeowner demand for pool ownership is strong in awareness of the Latham brand and the benefits of fiberglass continues to grow.  We continue to focus on dealer education and we are pleased that our new world-class training center in Florida is now open. The hands-on training that we can provide at this center is in high demand in our schedule was quickly filling up for the rest of this year. This is just one of the many measures we are taking to help our dealers increase installation capacity and we are excited to welcome new dealers and quickly and successfully onboard them and a flexible technologically advanced learning environment.  The homeowner interest in pools is there. And during the quarter we continue to enhance our ability to meet demand. Our fiberglass production continues to improve as we brought our new material sources and expanded resin supply from our existing sources. As a result, North American fiberglass production increased about 50% sequentially in Q1 versus Q4 last year and that came on top of a 35% sequential improvement in Q4 versus Q3 last year.  We continue to make progress on our fiberglass order backlog, especially, on pools that were ordered at a lower price than we are charging now. Lead times improved across many of our fiberglass plants and models, continuing to improve lead times is a key focus for us across the business. And I'm proud to say that we are tracking back towards normalized competitive lead time in all of our other product categories. We also turbocharged our employee recruitment efforts during Q1 and meaningfully filled open direct labor positions.  In term, this enabled us to successfully navigate labor headwinds related to beyond the ground variant in January and February. Our branding in digital initiatives continue to differentiate us from subscale regional manufacturers and remain an important driver of our ability to create demand and drive future growth. The work we have done with search engine optimization continues to strengthen our competitive leadership position in the market. Our website traffic remains strong with several hundred thousand sessions in 2.1 million page views year-to-date.  This organic web traffic has also further improved our search rankings across all our product categories. In addition, we continue to develop tools that empower homeowners to build a pool their dreams. We have made updates the key product areas look fiberglass enabling users to view different designs and what that speaks to their style. All our work to further our branding and digital initiatives coupled with our operational excellence efforts is helping to drive the awareness and adoption of fiberglass.  And the result of all of these efforts, Q1 net sales grew approximately 29% year-over-year and adjusted EBITDA grew about 43% year-over-year. Getting us off to a great start to the year. Q1 was a great demonstration of the team's ability to successfully execute tremendous growth while navigating the difficulties that calmer today to disrupt the global supply chain.  Our business continues to based new short-term challenge of each quarter, a few of which we expect to impact Q2. First, like many others we continue to face an unprecedented supply chain environment and we are not immune in the short-term supply challenges. To that end, during Q2 we are experiencing a temporary shortage of material that goes into the production of our unique fiberglass for several of our fiberglass offerings. To address this, we are leveraging our vendor relationships to ramp up supply of this import and we expect to return to full availability of this material in early Q3. We have a proven ability to respond quickly to supply chain challenges as our team has done a tremendous job shoring up our revenue supply for our fiberglass pools, both through productivity initiatives in supply diversification efforts. Just as we saw throughout 2020 and 2021. We believe the breadth of our offering and strong supplier in dealer relationships will enable us to navigate today's difficult supply chain environment.  Second, unseasonable weather in April impact of dealers’ ability to install pools in the Northeast, Midwest in Canada. As it gets warmer and we approach peak pool building months in Q2 and Q3, we expect installations to pick up quickly.  Lastly, as many of you know, in April, we experienced the fire at one of our smallest fiberglass facilities in Odessa Texas. Thankfully, none of our employees were on site at the time of the incident. And I am grateful to report there were no injuries. I'm proud of our team's efforts to quickly redeploy assets and resources to mitigate the impact of this lost capacity.  We have shifted production from this facility for other fiberglass manufacturing sites which have capacity to accommodate the additional orders. Thanks to our ongoing expansion investments across our manufacturing footprint. We are currently in the process of cleaning up the site in evaluating future uses for the location and in the interim, we are using the Odessa facility for distribution purposes to service the region.  Although this will impact Q2 net sales and gross margins, we anticipate the Odessa incident will have minimal impact on the full year as we quickly shifted production to our other fiberglass manufacturing facilities. Despite these near-term issues, we feel good about the actions we are taking to position ourselves for success as we enter the peak pool building season and the back half of the year.  We continue to see growth across our product portfolio in our dealers continue to book orders through 2022 and even into 2023, where our dealers have additional capacity or are expanding their installation crews. Our digital marketing engine is ensuring a healthy supply of consumer to drive them to more pool installs. We will contain a ramp up fiberglass volume growth in the second half of the year as we realize the benefits of our resin supply actions income of period of softer volumes because of the raw material availability challenges we experienced in the back half of 2021.  Our pricing actions and surcharges have enabled us to counter the impacts of cost inflation on raw materials, freight and labor. We continue to see cost inflation although the rate of the increase does seem to be abating. We are comfortable with our current pricing levels and the value proposition of our product offerings remain intact. And we will remain nimble and addressing inflation in our prepared to respond quickly to any future market changes.  Thanks to our strong focus on operational excellence continued execution of our growth strategy in the health of our industry, we are pleased to reiterate our fiscal 2022 guidance which implies 35% to 40% year-over-year net sales growth in 32% to 46% year-over-year adjusted EBITDA growth.  Looking further ahead, we continue to build our business for the long term and demand for our products grows, we continue to expand our manufacturing capacity. We are in the final stages of installing a new state-of-the-our highly automated line in Fort Wayne Indiana, which will drive a more efficient manufacturing process for our steel panel package pools and an incremental capacity to support future growth.  I'm also pleased to share that the construction of our new Kingston facility remains on track to begin production in 2023. We have also started hiring efforts at the new Kingston facility. The dynamics of the large outdoor repair and remodel market remain attractive is investments in the backyard continue as the only pool company with a direct relationship with the homeowner and the market leader in every pool of category in which we compete in, we remain confident in our ability to deliver outsized growth.  The confidence in our future is shared by our Board of Directors who have approved the share repurchase program with an authorization of up to $100 million of our common stock over the next 3 years. With that, I'll turn the call over to Mark to review our financial results, outlook and capital allocation priorities in greater detail. Mark?
Mark Borseth: Thank you, Scott, and good morning, everyone. Today, I'll review our results for the first quarter of fiscal 2022 and discuss our outlook for the year.  First, an overview of Q1 results. Please note that all comparisons are on a year-over-year basis compared to the first quarter of fiscal 2021. Net sales for the first quarter 2022, we're up about $43 million or 29% year-over-year to $192 million. These results are on top of a very strong period of growth, as you recall, Q1 2021 sales grew 191% year-over-year.  Price represented 24% of the 29% year-over-year net sales increase in Q1 as we continue to realize the benefits of our pricing actions. Volume grew 5% versus Q1 of 2021, which is I just mentioned was a quarter of outsized growth and a tough comp. Net sales increased year-over-year in all three of our product lines in Q1. This growth was led by an $18 million increase for in-ground swimming pools, where we saw strong fiberglass sales growth that was somewhat offset by softer package pool sales, which were impacted in part by a relatively full distribution channel.  Liners increased about $16 million and our business increased by about $9 million. Gross profit increased $18 million or 35% to approximately $71 million driven by an increase in net sales, which was partially offset by the addition of non-cash stock-based compensation expense of $1.2 million. Q1 gross margins excluding non-cash stock-based compensation expense expanded about 20 basis points versus last year to 37.5% of sales. Our pricing actions continue to offset inflation on raw materials, labor and freight which as Scott mentioned earlier continues to increase. However, at lower rates of increases than we've been seeing in prior quarters. Our average selling prices are increasing particularly in our fiberglass business. Thanks to the improved supply and staffing levels, which led to increased production and sales as we work through our lower priced fiberglass order backlog. Q1 gross margins also benefited from the building of inventory from year-end to support the business which aided Q1 gross margins by 230 basis points.  We expect this benefit will reverse as inventory levels come down through the balance of the year. Gross margins were also impacted by negative fixed cost leverage as we ramp up our infrastructure to support future volume growth. In Q1, selling, general and administrative expenses increased to about $45 million or 23.6% of sales from about $27 million or 18.3% of sales in Q1 of 2021. This was primarily driven by a $14 million increase in non-cash stock-based compensation expense to $16 million.  Excluding the increase in non-cash stock-based compensation expense, SG&A costs increased about $4 million or 13.9% versus prior year providing some nice leverage to the bottom line. Of the $4 million increase about 30% was related to ongoing public company costs with the balance related to supporting the ongoing growth of the business. Excluding non-cash stock-based compensation expense, SG&A for Q1 was about $30 million or 15.4% of sales. As a result, adjusted EBITDA increased by $14.4 million or 43% to $48 million. And our adjusted EBITDA margin increased 250 basis points to 25.0% of net sales. Turning to the balance sheet. As of April 2, 2022, we had cash and cash equivalents of $19 million. $65 million of availability on our revolver and total debt of about $324 million. Net cash used in operating activities was a seasonally driven $57 million versus $41 million in the first quarter of last year. As a result of both higher receivables tied to increasing levels of sales and increased inventory. The increased inventory was driven in part by a strategic decision to minimize the impact of any supply chain interruptions, as well as by cost inflation. As a result, our net debt leverage ratio was 2.1 times at the end of Q1 2022. Capital expenditures totaled about $7 million in the first quarter of fiscal 2022 compared to less than $5 million in the same quarter last year. The increase in capital spending was primarily related to our fiberglass capacity expansion initiatives. In light of our share repurchase program announcement today, I'd like to take a minute to touch on our capital allocation priorities. As a growth business, our first and foremost priority is reinvesting in the business as we see this as a means to drive continued opportunities to generate significant returns and value creation. We've been increasing our CapEx spend over time as we have accelerated investments in our fiberglass manufacturing capacity. Second, we have a history of accretive acquisitions and we will continue to be opportunistic on executing selective tuck-in M&A and business development investments. Third, pay down of debt. We have a strong balance sheet and a low net debt to adjusted EBITDA leverage. Lastly, we announced the approval of a share repurchase program which authorized us to purchase up to $100 million of our common stock over the next 3-year. Our strong cash flow generation and balance sheet position enables us to continue to prioritize organic growth investments in the business. As well as strategic M&A while also providing us the flexibility to further drive shareholder value through a share repurchase program. We would expect to opportunistically repurchase shares as windows of opportunity arise.  Now, turning to our outlook. As you saw on the guidance provided in our earnings release this morning, we reiterated our outlook for 2022. Net sales of $850 million to $880 million representing 35% to 40% year-over-year growth. Adjusted EBITDA of $185 million to $205 million, representing 32% to 46% year-over-year growth. And capital expenditures in the range of $45 million to $60 million. In addition, at the midpoint of our net sales guidance range, we now expect first half net sales to represent about 46% to 48% of full-year 2022 net sales. We delivered robust first quarter growth on top of strong year-over-year comparisons. Despite a few short-term challenges in Q2, we remain confident in our team's continued execution of our growth strategy, positioning us well to deliver another strong year.  Consumer demand for pools is strong and we are well positioned to capture that demand as we continue to advance our brand and digital strategy and drive the awareness and adoption of fiberglass. We believe we have taken necessary pricing actions to help counter inflationary pressures and we've made significant progress in navigating resin supply challenges resulting in improving production levels and lead times across many of our fiberglass plants. And as a result, we remain confident in our full-year guidance as well as our 3 to 5-year outlook. With that, I'll turn it back to Scott. Scott?
Scott Rajeski: Thanks, Mark. I am so proud of all the progress we have made and grateful for our experienced team that works to make us better every day. Our conviction in the success of our fiber glass conversion strategy remains strong as we continue to drive education and spread awareness of the value proposition fiberglass. Q1 was a great start to the year and we look forward to seeing these continued positive impacts our imagine pool buying experience. We will now open the line for questions. 
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Today's first question comes from Matthew Bouley with Barclays. Please go ahead. 
Ashley Kim: Hi, this is Ashley Kim on for Matt today. Congrats on the strong quarter. Thank you for taking my questions. So, just with the Q1 margin coming in pretty strong. I think this implies a step down from these levels through the rest of the looking at full-year guidance. Should we think of that is mostly loss volume leverage in 2Q or anything else to kind of call out there with the cadence. 
Mark Borseth: Good morning, Ashley. Nice to hear from you and thanks for your question. Very pleased with our first quarter results, as you mentioned both top and bottom-line growth in a very nice margin. A lot of good things happen for us there in the quarter. We don't provide quarterly EBITDA guidance, but our full year context is, some EBITDA margin expansion. We have a few short-term challenges in Q2 that we're going to work our way through. We know as we go through the year and I think also as we look at our gross margin, which was very strong in Q1. We had a nice pickup from some inventory build debt. We don't see repeating and we'll probably get some of that back as we go through the balance of the year worked down our inventories, but feel very good about the full-year guidance and our ability to deliver that. 
Ashley Kim: All right. Understood. That's helpful, and then just my second question, how do you think about investing through downturn things like going after new dealers’ new capacity additions marketing dollars would you kind of continue to investor it in order to keep driving material conversion for what kind of people, sir. 
Scott Rajeski: So, Ashley, good morning again. So I think if there was a downturn, but we've had a very strong balance sheet healthy business. We generate a lot of cash flow. We will continue to invest and one of the things with the magic of what we could do driving that fiberglass penetration story with a lower upfront cost that product versus a concrete pool. Total lower cost of ownership. We will continue to push the lead generation engine drive -- the demands to our dealers. Make sure we believe all of our dealer partners pretty full from a new construction standpoint, and just to remind everyone, we also have a pretty good recurring revenue business with the liner and cover segments of ours, which we did generate a lot of demand as well. So, we would continue to invest our long-term thesis is we want to stay out in front of the demand, the capacity. We believe the secular trends in this industry are phenomenal out there and as consumers want to continue to hunker down and invest in their backyard. We will do what we need to do to stay in the forefront to be the leading pool brand out there. 
Ashley Kim: Thanks, Scott. Thanks, Mark. I'll leave it there. 
Scott Rajeski: You’re welcome. Thanks, Ashley.
Mark Borseth: Thanks, Ashley.
Operator: And the next question comes from Susan Maklari with Goldman Sachs. Please go ahead. 
Susan Maklari: Thank you, everyone. Good morning. My first question is…
Scott Rajeski: Good morning. 
Susan Maklari: Yes. Thank you. My first question is, can you give a little bit more context on the inflation side of things. I know that you mentioned that you are seeing those pressures somewhat abate. I guess, just any context on how we should be thinking about the magnitude of that and how to roll through the year. 
Mark Borseth: Yes, hi, good morning, Susan, it’s Mark. Nice to hear from you. As we mentioned, inflation is not gone. We do see it continuing to increase. It seems to be increasing its rates than we've previously seen. I think the other side of that then we're expecting that to continue. Susan, I think the other side of that is we are continuing to see the benefits of our pricing actions and realizing some of those and some of that was reflected in our gross margin here in the first quarter. We feel really good about the pricing actions we've taken. We're staying ahead of the inflation curve as we sit here today and we continue to monitor that situation very closely. It is very dynamic and we will continue to monitor it and we'll be very nimble adjusting to it as we need to going forward. 
Susan Maklari: Okay, that's helpful color. And then just following up a little bit. I guess, obviously there has been a lot of concern about consumers, and the overall sort of inflationary backdrop in a rising rate environment. All these sort of different macro cross wins that are coming through. When you talk to your dealers on the ground. What are you hearing about the consumers' interest and willingness to spend on pools, what are dealers really concerned about today and has there concerned shifted any more recently as we've come into the year? 
Scott Rajeski: So, Susan, we've been chatting with quite a few dealers recently announced, we've been back out there talk in the folks and I think the general view is for us. And I'll say the short and medium term, we've not really seen a slowdown in the demand at the consumer level with our dealers. A lot of our dealers are booked out through 2022 for new pool installs. Many are actually booking out into early 2023 as well. Now, there is also pockets of the country where we have dealers that have capacity, they can still get pools in the ground this year. We have dealers. We're continuing to add crews, based on the demand and for our dealers who may maybe see a slowdown. That's where we are cranking up our lead generation engine to make sure we keep beliefs that there's plenty of demand out there. I think we will feel strong with this less conversion story, which can help drive it with the cost favorability project. But look in general, I think we do need to be cautious of it and watch it as interest rates and everything increase. The pool buying decisions one that's made over or many months if not years. We will continue to drive the demand and leads to our dealers. And we feel really good where we sit with the long-term projections of the industry. We're still well off that peak of where we were before and I think there's still a lot of room to run here for us in general. 
Susan Maklari: Yes. And just following up on that really quickly. You made the comment that you've got backlogs all the, all the way through this year and then even into the early parts of ’23. Are those people that have put deposits down on their pools or how secure is that backlog? How should we think about exactly what that's indicating? 
Scott Rajeski: I think we for this a couple of times and various, we really don't see cancellations in the industry to any extent, at least we don't, we've not seen any change in the trajectory of cancellations, there are some. But the power of it for us is right, if there was a cancellation, we can take that pool just flip it the next year or in homeowner of it's waiting for it. But again, at the consumer level to homeowner level right, they're putting down a significant deposit for that pool buying decision. Look it varies from 5% to 10%. I think the consumers unlikely to walk away from that cash deposit once they've made that decision and adding more importantly once they the family in the children, they're getting a pool. It's going to be tough to tell the kid not to walk away from it. So we don't worry about it. We think it's pretty solid and strong across the board.  And again, the ability to crank up the lead into that. I can't stress this one off the power of that SCO and driving the demand. We've talk about how many homes were out of that don't have a swimming pool. Homes in existence where folks are out there, replacing something else in the backyard invest in their home wanting that outdoor lifestyle space. We don't worry about it right now at all. 
Susan Maklari: Okay, all right. That's very helpful color. Thank you. Good luck with everything. 
Scott Rajeski: Thank you.
Operator: And your next question today is from Josh Pokrzywinski with Morgan Stanley. Please go ahead. 
Josh Pokrzywinski: Good morning, guys. 
Scott Rajeski: Good morning, Josh.
Josh Pokrzywinski: Well, yes, so just a couple of questions here. I guess first could you just sort of refresh us on where we're at maybe versus the start of the pandemic on kind of where the all-in price to a consumer is for a fiberglass pool versus where you think are GLI pool might be coming in just, just trying to see what kind of the relative inflation looks like and what may that GAAP has looked like over time. 
Mark Borseth: Yes. Good, good question, Josh, and get I'll say high level without giving specific dollar amounts. Because I think it varies region to region fiberglass versus concrete or gone, right. I think overall I think we still maintain the same GAAP in a pricing standpoint. I'm not, because it's exactly 28%, but let's just say in that 25% range from the data that I've seen. The average ticket price of this rain pool to the consumer in the backyard has gone up over the last 2 to 3 years by you could call it again just an average number I'll throw out there 20% 25%. But the GAAP advantage we have versus concrete still hold that thesis is still strong. It's still resonates at the consumer level for us. We continue to see the conversion being driven there.  And look, I think this is one where the rating acquisition really plays well for us where it maybe a little bit more on the lower price entry-level pool still a great tool great product. We're seeing really nice success there. We're a homeowner didn't want to pay the higher ticket price. We have that full product offering from the entry level pool all the way up through the premium product with the fiber glass, but we still maintain that advantage, which is very powerful for us and where we sit today. 
Josh Pokrzywinski: Got it. That's helpful. And then I know that one of the strategy around dealers has been kind of getting your best dealers to be able to sell even more. But if you had to break down sort of the volume growth that you guys have seen here, how much of that would you sort of attribute to kind of more sales per dealer versus bringing on more dealers over the past 2 years. 
Scott Rajeski: Yes. Over the past 2 of our data, it's probably 50.5 rights. If you remember, as we move through some of the challenges we had last year with rather than I you not want to really go back there. Right. We focused on supporting our bigger and better dealers that were out there. Right. We, one of the drop off the best dealer to make sure they to supply of product. So I think probably the majority of our revenue has come from driving incremental capacity with our existing dealer base.  That doesn't mean what we've stopped the slowdown of signing up new dealers, at the core thesis to us and it's something we always do is bring it on new dealers. And I would say, I think that's a big lever we're going to use to our advantage now. I think we talked about the new training center opened up down in Florida, we were actually down there 2 weeks. So for our Board meeting and I'm talking at some point we'll get all of be down there. It is an extremely impressed at facility. The work that the entire team has done stand that up, we're sold out for all of our boot camps, as we go through next year.  Now those boot camps are going to be new dealers coming into the pipeline for us to teach them how to install fiber glass packaging pools liners auto covered the full product array as well as bringing in some dealers who've been with us for the last 2 or 3 years that we brought on new who were not able to comment worldwide hands-on training boot camp like we did in the past. We went to the virtual boot camp training. So the fact that we're sold out through the rest of the year with those boot camps tells you, we've got, we're good a healthy flow of new and existing dealers in the pipeline to continue to drive that capacity creation in the industry to get more pools in the ground for the whole.
Josh Pokrzywinski: Perfect. Appreciate it. 
Operator: [Operator Instructions] The next question we have is from Ryan Merkel with William Blair. Please go ahead. 
Ryan Merkel: Hey guys, thanks for taking the questions. 
Scott Rajeski: Good morning, Ryan. 
Ryan Merkel: So, my first question is on the outlook. Can you help us quantify the impact to 2Q, either for sales or EBITDA from the 3 headwinds that you called out and then sort of related, do you see most of the recovery in 3Q or just some of that recovery from these issues also bleed into 4Q. 
Mark Borseth: Hey, Ryan. It's Mark, nice to hear from you. Thanks. Thanks for the question. Coming on top of our really strong Q1 or Q2, we're very pleased with posting up today. Scott, did mention a couple of challenges that we face in Q2 that we believe are very short term in nature. But when you kind of think about those 3 things, whether it's the fire, which very unfortunate incident so happy that nobody was injured there, which we believe will have a minimal impact on the full year. We really tough weather that we experienced in the month of April as we kicked off Q2 and then some of the supply chain challenges that we're seeing and working our way through and it will be through by the end of the second quarter. I think at the end of the day, you can probably split those a third, as we've looked at that about those things, and again we think of those as for a short-term impact in Q2.  As a result of that we combined our very strong Q1 with what we're going to see in Q2 here and we're providing some color around that first half split. We think it's going to be in that 46% to 48% of mid-point guidance for the full year. So you put those two things together, we think we're going to land there for the first half. For the balance of the year, I think the thing I would comment on there, Ryan is as we talked in our Q4 call when we thought about volumes throughout the year. We didn't expect to see softer volume in the first half of this year, coming off with a really strong performance we had last year in the first half. And then picking up pretty significantly in the second half of this year, unfortunately, we have the tough resin availability challenge for us in the second half last year. So we're coming up on some softer comps in the second half. So, we'd expect to see volumes pick up in the second half of this year, which then gets us to the full year outlook that we're very happy to stand by today.
Ryan Merkel: That's really helpful, Mark. Thanks for that.
Mark Borseth: You're welcome.
Ryan Merkel: For my second question maybe over to Scott, back to all this worry about the consumer. Scott, I've been taking a lot of questions about how your business might perform in a downturn. So, I think it would be helpful if you could discuss how each of your three product segments might perform if we see a consumer downturn and then also, what could decrementals margins look like if you see a sale decline? I'm not looking for anything specific, but maybe a range or even a way to think about it.
Scott Rajeski: Yes, Brian. I'll also put a quick financial model together for you to answer this one.
Mark Borseth: [Indiscernible].
Scott Rajeski: High-level, I think that the important thing for everyone to understand here is the business we've created is just so different from where we were three, four years ago, five years ago, 10 years ago. So, I think we're much better-positioned in terms of how we run the business overall and the variability of the cost structure that we've created, as well as the diversity of the product offering in the regional offering we have, we now also have the business down in Australia-New Zealand. So, we're positioned a lot better than we've ever been. If you think about the different product categories, that repair and replacement market for us is always a very healthy growing segment of the business. If you want a swimming pool and you need a new line or a new cover, you really can't go without that very long. You want your pool operational. So, that's business we really don't typically see any kind of downturn as it goes. If anything, you might see an uptick, where people are making the decision, 'Hey, things are tough. I'm going to get my pool redone. So I'm going to be stuck at home.' Let's say the in-ground category, which is fiberglass and the other packaged pool segment. Again, I think the price point of those pools versus the competitive product to concrete pool, we have a cost advantage right out of the gate upfront and we have the lower cost of total cost of ownership. So, I think what we would see is the switching power potentially from concrete to fiberglass and or a vinyl liner pool accelerate. And again, the auto cover category, the cover category is just such a critical component from safety. The efficiency of operating pool, I think we're in the early, early stages of really driving the penetration of that one and we would continue to push that on our products. And even if pool starts, let's say slow down, flattened out, or a slight pullback, the thesis of our long-term growth model is to drive penetration against that other product. And we believe we can continue to grab share and grow. And that's why, as we've been talking over the last year or so since we became public, we have such confidence in that 10% to 12% top-line growth algorithm of ours. If it was the gap, arguably, Ryan, back to your point on the margins and all of that, I think we've got a lot of triggers we can pull from a variability of the breadth of our offering. All the programs we offer out there across the board from a cost containment, cost contingency, where we should be able to maintain pretty healthy margins across the board in pretty much any scenario that could be out there. Other than let's say the doomsday scenario of a really deep recession down, but I think again, we would weather every single scenario that we could come through, and that's what's great about this team and if you think about the last three years how many challenges have been thrown at us and how the team has performed and the result this business is post over three-year period, that's a testament to the strength of our team, our dealers and the brand we have here at Latham.
Ryan Merkel: Really helpful. Thanks, Scott.
Operator: And the next question today comes from Tom Woods with Baird. Please, go ahead.
Thomas Wood: Hey guys, good morning.
Scott Rajeski: Good morning.
Mark Borseth: Good morning.
Thomas Wood: Maybe just on the demand side. As you kind of think about incoming orders and kind of the perspective buyer pool -- I guess pun intended buyer pool for pools that's out there, have you seen any change in kind of the income level cohort in there with the new orders? So for example, are you seeing more orders from kind of higher income households or less from lower income household. Just kind of wondering what the mix on the income level cohort looks like with new orders.
Scott Rajeski: Good question. We don't really see that detail of what the income level for the consumers who is buying the pools from our dealers. But I can share with you a couple of key data points that I picked up with some time I spent with some folks out there. The average price point of let's say, the pool going into the backyard continues to increase -- and look, there's a couple of anecdotal points where a few dealers have said they've seen the average price point of the backyard pool install move up significantly by 20% to 25%, which could be an indicator that there is a strength at the higher income level or the higher net worth an equity level of homeowners willing to double down and invest in their yards. But again, as the price point has moved up in general, we've not really seen a slowdown in that demand and there is our dealers have been sold out into 2023. But I think it is an interesting question and it is one we watch, but again back to the breadth of our portfolio, we have a price point pool that starts and builds at the lower level, all the way up to the premium level. So, even if you did see a slowdown, we would just shift someone for maybe a fiberglass pool to a vinyl pool to one of the aluminum wall pools and still make sure we got to lay some pool in the backyard.
Thomas Wood: Okay. And then, just on the weather side I guess how does a slower kind of start to April kind of filter in for the rest of the season? I guess is there any way just to think about how much of your business is in the Midwest-Northeastern Canada? Just for perspective.
Scott Rajeski: Look, every year or season in the pool industry, you've got to fight through whether and it's just part of the business we're in. And there is always a slow start to the season and just back to 2019, 2019 was the wettest spring on record in the U.S. Right? I've said that probably a couple of times here over the months and we're really just entering the peak pool building season. As you come into, let's say the middle of May, folks are trying to get that first pool in for Memorial Day, the Memorial Day barbecue. Then there's the big push in June for July 4 party, then you got the whole August-September build season. There is a lot of runway to make up if you get off to a slow start, which seems to be happening here in many areas of the country. So we don't worry about it. I think that's the magic of our dealers. They might have to start working a Saturday in a Sunday here and there to catch up, but they do that to get those pools and liners in for the homeowner. So, I don't think we really worry about it because just look at what happened 2019-2021, you keep pushing pools right up into Christmas, I think and that's where the fiberglass product can continue to be installed deeper into the winter months than the other two types of products that are out there, which gives us that confidence that a slow start won't hurt us long term for the season.
Thomas Wood: Okay, good. Thanks a lot, guys. Good luck on the rest of the year.
Scott Rajeski: To you as well.
Operator: And ladies and gentlemen, our next question comes from Keith Hughes from Truist. Please, go ahead.
Keith Hughes: Yes, two questions. I guess first on backlog. What can you quote dealers in terms of delivery time for most of your fiberglass shelves now versus what it was, say, six months ago?
Scott Rajeski: Keith. I'll answer it two ways. One, it really is region-dependent where you sit and what I'll say, there's parts of the country right now where we've worked through the backlog, we're in really good position where if you, the consumer, went to your local dealer and you wanted a pool and this dealer had the open slot -- that's the key thing, if the dealer had capacity, had an open slot and had a crew, I could ship your pool tomorrow. It's in some locations. I would say in many places, we're kind of backed to what I would call normal lead times where we use to sit. We used to quote it in a couple of weeks. Other places, again, if it's a particular model or a region where we're still shoring through, it could be out still several, several months in particular regions where dealers have healthier backlogs, those that are sold out into 2023. So, it's really that dynamic and for the rest of the business, again back to the team, we've done a tremendous job getting back what I would call our world-class leading service levels across the industry -- covers, liners, the in-ground of vinyl business, we're in a really good position across the board there. And it's not just us, I think it's been higher channel. the WD stocking their product, the dealers can walk in, get the components they need to quickly turn those pools around for the consumer. But fiberglass is a little extended out, still in many of the regions of the country.
Keith Hughes: Okay. And did acquisition play a role in the quarter?
Mark Borseth: Keith, it's Mark. So, as far as rating goes, we're very pleased with the way that business is performing. It's part of our in-ground pool product category, which I think is up to around $111 million and $112 million, grew nicely in the quarter. We don't specifically break out radiant -- I'd just remind everybody, it's a relatively small business, I think we disclosed that last year and total sales were somewhere in the $35 million range and as pleased as we are with that performance, they also have a pretty full order book right now. So, we're not really expecting any real significant growth synergies this year. It's probably going to be more 2023 before we start seeing that.
Keith Hughes: Okay, thank you.
Mark Borseth: You are welcome, Keith.
Operator: And ladies and gentlemen, our next question comes from Ken Zener with KeyBanc. Please, go ahead.
Ken Zener: Good morning, everybody.
Mark Borseth: Hello, Ken.
Scott Rajeski: Hey, Ken.
Ken Zener: Well, I can see patience with all these questions around a relatively new market to most of us on the public side and its cyclical concerns. So, just within that vein, obviously held the guidance for the year, that's good. And kind of at least in our world did better on the gross margin and called out Q2 headwinds. Just trying to understand the cadence here. You talked about an inventory lift in Q1. Mark, would you care to quantify the benefit of that [ph]?
Mark Borseth: Yes. In the first quarter, look, we had some nice things going on in the gross margin. We continue to realize the benefits of our pricing actions, we're seeing ASPs increase, we continue to stay out ahead of inflation. The inventory benefit that we mentioned was 230 basis points in the quarter. And look, we're going to give that back over a year as inventory levels come down.
Ken Zener: Okay. And could you perhaps -- I mean, generally speaking, I think about hard assets get better, fixed cost absorption, was that the largest component of that 230 basis point lift? Is that how we should think about it?
Scott Rajeski: No, I think the way you want to think about that is as we've made some decisions to increase our inventory levels since the end of the year to help support the business, we see some of our overhead being absorbed into the inventory and sitting out the balance sheet. We do continue to invest in our manufacturing overhead capability, which gave us some negative fixed cost leverage, because we do want to stay ahead of demand here and make sure that we can address demand going forward. So, it's really two different things: one is the benefit of the inventory build; the other is the absolute size of our overhead going forward to give us a little bit negative leverage in the quarter.
Ken Zener: Interesting. And then given what you talked about, kind of headwinds in Q2, is it reasonable to assume that there might be a little more pressure in Q2 versus that adjusted baseline ex., the inventory build? Or is there some seasonality that what that we might expect? And just as last year, obviously, we saw increasing costs 2Q 3Q, 4Q. So I'm not sure we have a clear sense on the operating cadence there.
Mark Borseth: Yes, I think as we look at the challenges that Scott mentioned. In Q2, we tend to think about those more as top line challenges and short term in nature. The supply chain challenge has the potential to impact our revenue a bit in Q2 as we worked through that issue and come out clean in Q3. The same thing with the weather right took more of a top line issue, which was an April event. I think the one that maybe impacts cost a bit, Ken, is the fire, right? We'll have to see how that impacts still will have some impact on the top line will probably incur a few in the incremental dollars there as well in the second quarter, as we think about the guide for the second quarter as part of our first half color at 46%, 48% of the timeline.
Operator: Ladies and gentlemen, this does conclude the question-and-answer session. I will handle this conference back over to Scott Rajeski for his closing remarks. 
Scott Rajeski: Hey, Ken, thanks. Thank you, everyone for joining us this morning. We're really excited for another great year and I would look forward to speaking to you all on next call. Have a great day, all. Great day, everyone. Thanks a lot. 
Operator: Thank you, sir. Well, thank you everyone joining on today’s conference call. Thank you, all, for those presentation. You may disconnect your large and have a wonderful day.